Operator: Ladies and gentlemen, thank you for standing by. Welcome to Clear Channel's first quarter 2014 earnings. Now, I will turn the conference over to Effie Epstein, Vice President of Investor Relations. 
Effie Epstein: Good morning, and thank you for joining our 2014 First Quarter Earnings Call. On the call today are Rich Bressler, President and Chief Financial Officer; and Brian Coleman, Senior Vice President and Treasurer.
 We'll provide an overview of the first quarter 2014 financial and operating performances of CC Media Holdings, Clear Channel Communications and Clear Channel Outdoor Holdings. For purposes of this call, when we describe the financial and operating performance of CC Media Holdings, that also describes the performance of its subsidiary, Clear Channel Communications. After an introduction and a review of the quarter, we'll open up the line for questions.
 Before we begin, I'd like to remind everyone that this conference call may include forward-looking statements that involve uncertainties and risks. There can be no assurance that management's expectations, beliefs or projections will be achieved or that actual results will not differ from expectations.
 Please see our annual reports on Form 10-K and our quarterly reports on Form 10-Q filed with the Securities and Exchange Commission for a discussion of important factors that could affect our actual results.
 Pacing data will also be mentioned during this call. For those of you not familiar with pacing data, it reflects revenues booked at a specific date versus the comparable date in the prior period and may or may not reflect the actual revenue growth rate at the end of the period.
 During today's call, we will provide certain performance measures that do not conform to Generally Accepted Accounting Principles. We've provided schedules that reconcile these non-GAAP measures with our reported results on a GAAP basis as part of our earnings press releases and the slide presentation, which can be found on the Investors section of our websites, clearchannel.com and clearchanneloutdoor.com.
 Please note that our 2 earnings releases and the slide presentation provide a detailed breakdown of all foreign exchange and noncash compensation expense items, as well as segment revenues and OIBDAN for the quarter. Our discussion today also excludes the effects of movements in foreign exchange.
 With that, I will now turn the call over to Rich Bressler. 
Rich Bressler: Thanks, Effie, and good morning, everybody. Once again, as Effie mentioned in the opening remarks, we've prepared slides to accompany this call. You can find those on our website. Before reviewing our financial results, let me highlight several of the initiatives we've launched since our last earnings announcement that should help give you a sense of where we are taking the company.
 Starting with Media and Entertainment, we're living up to our promise to be everywhere our listeners want to find us. During the quarter, we announced key partnerships with Amazon's Fire TV, Apple’s CarPlay and the Samsung's Gear 2 smartwatch, and we're continuing to focus on expanding distribution of the iHeartRadio platform to engage with consumers both in and out of the home. On the broadcast radio front, last month, Nielsen Audio and Nielsen Catalina Solutions announced that they have finally cracked the code, and created the first single-source ROI measurement tool for radio. This study showed the power of radio and highlighted radio's ability to deliver sales lift of more than $6 for every dollar spent. According to Advertising Age, this is a ROI greater than digital or TV media. In fact, Nielsen found that one retail brand delivered a sales lift of more than $23 for each dollar spent on radio advertising. Finally, we have the definitive proof of radio's value. This is an important development as radio begins to close the gap between its massive consumer scale and engagement and its relative share of advertising spend. Nielsen has now proved, beyond a shadow of a doubt what everyone in our industry has always known, that radio over-delivers by far, for our advertising partners and that radio provides unparalleled value for every dollar invested.
 As you can imagine, we're sharing the details of this Nielsen study with our advertising partners to help them understand why radio should become a bigger part of their media mix, especially now when consumers are becoming increasingly mobile. In fact, other heads of radio companies are joining us here next Monday when Nielsen will host an event at our office to brief advertisers, advertising agencies and industry players on the results of the study and what radio can do for their clients and for their businesses.
 As BTIG's Rich Greenfield pointed out in a recent report, only broadcast radio allows you to buy reach and frequency. To live it in a context by a DJ, and despite some digital competitors' claims to the contrary, they can't even come close to achieving radio's effectiveness for advertisers. From an organizational standpoint, we have created a new major market structure, under which 4 of our senior operating executives are reporting directly to Bob Pittman and myself. This major market's operating group will collaborate directly with our local market management to oversee our operations in our largest and highest revenue-generating markets from our core broadcast radio stations to our digital, mobile and events business, as well as a more expanded coordination with Clear Channel Outdoor. This puts the right structure in place to leverage our position efficiently and effectively as the country's leading, multi-platform Media and Entertainment company. It's critical that we are able to coordinate and integrate our resources faster and more responsibly, and this will flatten our structure in a way that allows us to accelerate our decision-making, increase our flexibility and therefore, improve our results, as well as increase the empowerment and accountability of our individual market leaders.
 Earlier this week, we also announced the new iHeartRadio Networks, which offers advertisers access to Clear Channel's powerful collection of integrated assets: our 840 broadcast radio stations, the iHeartRadio app, the syndicated programming of premiere networks, DJ mentions, popular digital channels, local websites and more. Advertisers can use these assets in a very targeted way to effectively reach demographic and psychographic groups, including millennials, country, Hispanic, African-American, women, men and holiday. This new unified network provides the kind of targeted impact and massive reach that marketers need, which they're used to receiving from television networks and that we can provide. At Outdoor, we launched Connect, the First global, mobile, interactive advertising platform that will initially reach 175 million customers each month across 23 countries on 5 continents, the largest network of its kind. To explain it briefly, Connect turns advertising panels at 75,000 of our Outdoor pedestrian accessible sites worldwide into mobile launch pads, enabling customers to tap into interactive content with their smartphone for information, shopping, entertainment and community.
 From an organizational standpoint, we are also making changes at Americas Outdoor so we can have a more effective national go-to-market strategy, as well as leverage the existing infrastructure within our 39 markets. As you know, at the end of last year, we've brought on Walker Jacobs, the former head of Turner's digital ad sales group, as Chief Revenue Officer and President of Sales. And earlier this year, we hired Ken Shapiro, an 18-year veteran of Turner Broadcasting Sales, as EVP of Sales for our North American operation. With strong management in place, our goal is to create full national coverage across all our specialist agencies, planning agencies and the advertisers themselves.
 Now before reviewing our financial results, let me just add that the advertising communities faced some difficulties this quarter, including business disruptions due to the extreme winter weather across the U.S. Bad weather causes people not to focus on buying, especially when it comes to discretionary spending. It's hard for us to quantify the impact of weather, especially considering our national footprint, but it's certainly had an impact on the advertising community.
 Now, turning to our first quarter key financial highlights on Slide 4. As a reminder, the first quarter has historically been our slowest and smallest quarter and that is no different this year. Overall, revenues at Clear Channel Media Holdings totaled $1.3 billion, flat on a year-over-year basis with expenses up 1% and OIBDAN down 2% to $261 million. Revenues at Media and Entertainment were up 2%, International Outdoor grew 1%, and Americas Outdoor was down 6%. Expenses at Media and Entertainment moved higher in the quarter, resulting in a decrease of 6% in OIBDAN year-over-year. Expenses were down, both at Americas Outdoor and International Outdoor, with OIBDAN down 11% for Americas and up a strong 25% for international. I will go into more detail behind the drivers of these results when we dive into the business segments.
 Now, let me take you through some of Media+Entertainment's key highlights on Slide 5. I've already mentioned some of the partnerships we announced this quarter so let me start by updating you on iHeartRadio's growth. We totaled 47 million registered users at the end of the quarter, climbing by 66% on a year-over-year basis. IHeartRadio's total listening hours were up 13% over the first quarter of 2013, with mobile representing 56% of iHeartRadio's total listening hours. Downloads and upgrades both continue to grow, reaching 327 million. We are continuing to expand our events business and this quarter, we had our first-ever iHeartRadio Country Music Festival in Austin, Texas, which attracted some of the biggest names in country music, including Carrie Underwood and Luke Bryan. Its key sponsors included NBC's The Voice, State Farm and Jim Beam, among others. The show was streamed live on CMP's website, generating visits that averaged nearly 50 minutes of viewing time, the highest ever for a Clear Channel event. Our inaugural iHeartRadio Music Awards are coming up next week and will be televised in NBC. Among the audience performing live during the show will be Blake Shelton, Drake, Pharell, Pitbull and Shakira. This award show is the first to directly engage the consumer in the selection of the winners, using our massive reach. To date, we've generated over 60 million votes, clear evidence of both our scale and audience engagement.
 Now turning to Slide 6, we've had several initiatives that continue to expand Clear Channel's presence globally. In addition to Connect, which I spoke about earlier, we partnered with Adlux to extend our private aviation presence, as well as Vodafone to grow our footprint in Spain. On the digital front, we keep growing our digital displays both in the U.S. and internationally, all while evaluating our portfolio to make sure that we are both maximizing our footprint and maximizing our return on invested capital.
 Next, I will spend a few minutes reviewing our segment results and then we'll wrap it up with liquidity before opening up the lines for questions. Turning to Slide 7 and starting with Media and Entertainment. Revenues rose 2% year-over-year, driven primarily by growth in our traffic and weather businesses, as well as national and digital sales. The quarter's top categories included telecom, healthcare, and auto. Operating expenses increased 6% to $470 million due mainly to events, increased, digital streaming costs and performing rights, as well as higher compensation expenses related both to higher revenues and new hires. We also continue to invest in our national and digital sales force. As we look to the rest of 2014, we expect OIBDAN to improve year-over-year, driven by incremental revenues and tight expense management that we are putting into place.
 Let me cover our second quarter pacings before moving on to Americas Outdoors. Second quarter pacings through the end of last week at Media and Entertainment are down 1.9%, with core stations down 3%. Now, you've all heard me say this before, these pacings are just a snapshot in time and certainly don't include everything we do as a company worldwide. To give some additional color on this, in April of last year, we booked a large deal with a major telecom player around the relaunch and rebranding of their company. This means very tough comps year-over-year, again, because pacings essentially reflect an exact point in time.
 Moving on to Slide 8, in Americas Outdoor, our revenues declined 6% to $269 million or to $270 million when excluding the impact of foreign exchange. Let me explain the declines. As I mentioned, first quarter was a slow quarter overall for advertising. In addition to that, there were 3 other factors. First, we are still without our digital billboards in Los Angeles. Second, portfolio management resulted in selective and strategic reduction of certain inventory. For example, our contract at Boston Logan, we chose not to renew that contract. And third has been the shift in how national advertisers are buying Outdoor media. Let me expand on this last point for a minute because this is an important change. In the past, national advertisers typically committed to Outdoor spend at the beginning of the year and would buy 12-month contracts. Today, we are seeing that with the growth of social media and mobile, more and more advertisers want the flexibility to coordinate their outdoor spend with realtime events and product launches throughout the year. Several of our biggest advertisers have implemented this shift in buying. What that meant to us in the first quarter is that as a big national advertisers shifted spend to the Olympics, we were affected because of our relatively large national footprint. Although this shift with long-term advertisers causes some dislocations initially, we feel that in the long term, it is an important step in Outdoor becoming a medium that is just like radio, TV and digital with Outdoor joining the media mix based on audience, not just location. This is a critical point. Also, as I mentioned at the beginning of this call, we are in the process of realigning our sales force to best meet the needs of advertisers and agencies. In addition, we continue to grow our digital presence, which better serves advertisers as they seek increased immediacy, flexibility and realtime marketing capabilities, all while launching new products around shopper marketing. Even though other players may use short-term tactics such as cutting rates to gain market share, we believe that our initiatives around organizational structure, product innovation and footprint put us in a better position for growth and success as this year goes forward and we go into future years.
 Moving on to expenses. Expenses were down 4% due mainly to reduced site lease expenses related to the airport business, lower commission expenses from lower revenues and cost reduction efforts from previous strategic initiatives. Second quarter pacings at Americas Outdoor are down 8.7% as of yesterday due to the shift in buying dynamics I just explained to you, as well as our increased digital footprint. We do expect more lumpiness in our pacings. Again, these are just point-in-time metrics and do not reflect everything we do in the business as a whole. As a reminder, second quarter pacings are also affected by the 77 digital billboards in Los Angeles that were turned off in the second quarter last year.
 Turning to Slide 9, International revenues rose 1% to $366 million or $365 million when excluding the impact of foreign exchange. We're continuing to see growth from emerging markets particularly in China. On the developed markets front, U.K. performed well in the quarter and we are seeing improvement in France, primarily in street furniture and digital advertising revenue. Our revenue increases was partially offset by declines in countries in Northern and Eastern Europe due mainly to challenging macroeconomic conditions. Operating expenses decreased 1% to $330 million in the quarter, generally as a result of previous strategic efficiency initiatives. For pacings, second quarter pacings for International Outdoor are up 5.9% as of yesterday.
 On Slide 10, we show some of the items that are affecting comparability year-over-year. First on the revenue front, we expect to benefit from this year's being a political one, though with no presidential election. We have great confidence in our new political strategy unit where we're innovating around broadcast and digital segmentation and targeting. We believe Clear Channel's powerful reach and scale, especially compared to the digital-only players, will enable thus to help target the right people at the right time. At Americas Outdoors, there's nothing new to report about our digital billboards in L.A. but we're working with the industry and the city on a long-term legislative solution that benefits the community and city government. That said, we don't anticipate a quick resolution. As a reminder, these boards were turned off at April 15 of last year, but revenues continued to come in well into the quarter because we were able to repurpose some of our other outdoor assets to meet advertiser needs. Consequently, our second quarter numbers won't be entirely cleansed of the L.A. digital impact.
 On the expense side, we invested $13.2 million in strategic revenue and efficiency initiatives this quarter, consisting primarily of consolidation across locations and positions, severance and consulting expenses. These expenses are divided among the business units, as well as corporate, which includes $6.3 million related to the transition of John Hogan from CCME. Separately, during the quarter, we recognized an $8.5 million credit related to an insurance recovery. We expect to fund additional strategic revenue and efficiency initiatives for the remainder of the year as we continue to identify opportunities to further improve the efficiency of our business and bring more money to the bottom line.
 Moving to our capital expenditures on Slide 11. CapEx for the quarter totaled $67 million, up approximately $6 million versus last year's first quarter. Of the $67 million, approximately $37 million was invested in Outdoor. We spent $12 million in our Americas segment, related primarily to the construction of new digital displays and $25 million on our International segments, due mainly to new billboards and street furniture and renewals of existing contracts. Our CapEx guidance for the year remains unchanged at $300 million for CC Media Holdings.
 Let's go on to our debt Slide #12. As I've you before, we continue to focus on maximizing the value of the business. We have made progress in improving our capital structure and liquidity, both organically and through capital markets and strategic transactions. As of March 31, Clear Channel's debt totaled $20.4 billion.
 Turning to balance sheet information and the debt ratios. CC Media Holdings' cash on balance sheet totaled $661 million at March 31. Our secured leverage ratio was 6.3x. Clear Channel Outdoor ended the quarter with $270 million of cash, its senior leverage ratio was 3.5x and its consolidated leverage ratio totaled 6.4x. We, of course, have a number of levers available to enhance future liquidity. As we've said previously, we continually and aggressively evaluate our businesses and outside portfolios and have demonstrated that through our ARN divestiture and the sale of other non-core assets like our XM Sirius interest, and we will continue to look for ways to optimize all of our assets. At the same time, we keep working to improve our operations and reduce our working capital needs. We are comfortable with our maturity schedules in the near term and we'll continue to take disciplined and proactive approaches to address our capital structure and liquidity. Most of all, we're confident that our strategic revenue and efficiency initiatives will fuel our future organic performance. I'll close by saying that we look forward to building our momentum over the rest of 2014, especially if the current worldwide economic recovery gains more and more traction. We will continue to reinforce our foundation for growth and make progress in advancing our strategy to become the #1 multimedia company in revenue and earnings in addition to reach, which we are today. Thanks, and now let's open the line up for questions.
 One slight correction I'd like to make just before we open the line up for questions. I referred to Clear Channel Outdoor senior leverage ratio, excuse me, as 3.5x. It was actually 3.6x and the consolidated leverage ratio again, at Clear Channel Outdoor, I referred to at 6.4x, it was actually 6.5x. So just before we turn it over, I just wanted to make sure that was clear. 
Operator: [Operator Instructions] Our first question today comes from the line of Marci Ryvicker with Wells Fargo. 
Marci Ryvicker: I just wanted to dig deeper into the national commentary. And I guess first, can you just tell us what percent of your revenue both in Outdoor and radio is national? 
Rich Bressler: Sure, Marci. So if you look at -- national was about 1/3 of our revenue, around -- or about 35% of our overall revenue for Outdoor. 
Marci Ryvicker: Okay, what about for radio? 
Rich Bressler: We haven't -- we don't break that out for radio separately. 
Marci Ryvicker: Okay. And then I'm curious why there has been a shift in Outdoor, specifically and not radio and I'm just also curious if it's particular ad categories are having a larger impact than others in particular markets, or is it just a broad-based shift? 
Rich Bressler: I'm not sure. I wouldn't call it really a broad-based shift and just to maybe just take a step back, I want to make one comment on Outdoor. We continue to be incredibly bullish and are incredibly bullish about the Outdoor business. And I think that's an important context. And really, because of the rise of cities, people spend more than 1/3 of their time outside of home right now. I think if you look at America, we're particularly like 80% of American consumers are out of their home the majority of the day. So it's really important to remember the Outdoor business. When you look at the categories, by the way, just the overall comment on categories for Outdoor, we were strong in Americas, strong on travel and transportation, real estate, some things like government agencies, a little weaker on hotels, motels, beverages and the entertainment business. And really, what happened when you look at CCOA, which I assume is what you're referring to specifically, that we just had a couple of national advertisers that were really doing away with the 12 months contract as part of the upfront and instead, relying a little bit more on specific product launches as I highlighted in my opening remarks and social media guide with their spot buying throughout the year. And from our standpoint, I think that's -- and obviously, the Olympics and the Sochi Olympics, which I think I also referred to in my remarks and that also hurt us a little bit in the first quarter. And what we don't want to do is we don't want to refer to kind of some short-term tactics like I think, some of our competition did. And so from our standpoint, where we're driving the outdoor business is to really say this is a critical part and piece of the overall buying plan for all the national advertisers. And if you -- by the way, if you look at some national brands in advertising like Coca-Cola, like Apple, big time brands, they over-index in buying Outdoor. And again, we want to get to that point with all of our national advertisers that they're over-indexing their media mix as buying part of Outdoor. So it's really -- it's is a shift, with some of the national people out there and we put the organization in place under Walker Jacobs to really take advantage of that shift and make sure we capture those dollars as we go into the second quarter, the third quarter, the fourth quarter as we go forward, and not just kind of knee-jerk reaction to some short-term needs. And the last thing I'd say and I know you didn't ask about International, but I think it's important to remember where International was, relatively a similar story. And if you're looking for the last 2 quarters in International, between Bob, William Eccleshare and myself, we really focused on our International strategy. If you went back to last year, that business was not performing quite as well. And we've shown the last 2 quarters, year-over-year OIBDAN margin expansion and the direct result of the initiatives we launched last year. We changed the way we allocated capital for ROI projects, we restructured our sales force to capture dollars the way the market was going, with new country and regional management in certain locations. And we started doing more tactical revenue initiatives such as nonconforming bidding. So really, my simple point in raising International is to say that we run businesses that are vibrant and that change and we need to adapt to the market conditions and that's exactly what we're doing at CCOA in national ad sales and we continue to think it's a great business. 
Marci Ryvicker: So just -- it sounds like it's more of a change in buying patterns versus actual money that's leaving and going somewhere else. Is that the right way to characterize it? 
Rich Bressler: Yes. Look, I'm not going to characterize it but I think yes. I think for the most parts, it's a little bit more in some of the change in buying patterns and we're in a competitive environment out here for advertising dollars. You're saw a lot of people release numbers and I'm you've seen as much as I have the last couple of days whether they're traditional media companies, new media companies, people releasing numbers today, people releasing numbers this afternoon. But I think that the end, you really need to keep your focus. We all need to keep our focus and the eye on our prize here is that we've got this great set of assets, which is why I went through a couple of minutes up front about the strength of Outdoor and why we think it's such a great business both in the U.S. and outside the U.S. And then you also have to have management, which is why I pointed out under the leadership of Bob and William Eccleshare and myself, Walker, Suzanne Grimes in the U.S., our teams outside the U.S. It is also about management and recognizing shifts in patterns that are out there and making sure that you change your strategies to capture those dollars when the shift in patterns happen. And that's where you'll see that's happening here and that's why I pointed out CCI from a credibility standpoint say, okay, we saw that shift in pattern happening outside the U.S. for International and now, look at the quarter we just had. I mean, International's up over 20% on the bottom line. 
Operator: We have a question from Avi Steiner with JPMorgan. 
Avi Steiner: A couple more on Outdoor before I shift gears here for a second. In the Americas, if we stripped out the airport loss and nonrenewal in L.A, am I right that Outdoors still would have been down and is there a way to kind of frame that somehow for us? 
Rich Bressler: Well, look, I'm not going to and I'll be -- I know you guys ask maybe every call a little different way, a little different question but I'm not going to break out any of the pieces. I'll really stick to what I was saying before. Look, L.A. digital we saw  the 77 boards that are down. They were down starting the second quarter of last year and back to my comment earlier, so we don't have a clean quarter the first quarter. I'd like a clean quarter too. We don't have a clean quarter in the second year -- in the second quarter, I'm sorry. And I just want to remind everybody that even in the second quarter even though the boards legally technically came down April 15, 2013 but cancellations, I think, as you're are all well aware, takes 4 to 5 weeks to come through. So we were able to execute on most of the contracts we had last year that was signed up for digital Outdoor even though the boards came down by leveraging our other assets in the portfolio. So I think we're still going to have some tough comps in the second quarter and it's still not clean in terms of a year-over-year business. 
Avi Steiner: Fair enough. And then on the prepared remarks, I heard you talk about this change in buying pattern as coming back long term and if I'm misquoting you, I apologize, but am I thinking about that right or did I hear that right and is that something that you think normalizes this year or the does it take longer for that to happen? 
Rich Bressler: No, I think you'll see continued improvement and that's why I purposely, in my prepared remarks, did not use the word long term. It's something that Walker and his team and Suzanne, they're all over this. I was with Walker yesterday. He was in my office, he was on doing a bunch of ad sales meetings, these -- and you'll start to see improvement in the second quarter, third quarter, fourth quarter. I think you'll continue to see improves throughout the years. So this is not long term. This is just, like I said, I think we had a confluence of events in the first quarter. And again, not to be a broken record but I will be a broken record. I'd point out what we did at CCI on International and within a quarter and 2 quarters, look at the results we're now producing of the great work William and his team did outside the United States. 
Avi Steiner: Okay, turning to radio, I think you referenced a big buy last year at this time. Was that one-time event, something that comes back? Can you frame that or put some magnitude around that? 
Rich Bressler: I'm sorry what's the question Avi? I'm not... 
Avi Steiner: On radio pacings, I thought you had referenced a big telco buy last year at this time? 
Rich Bressler: Yes, yes, I did. I mean, look, my only point to there and you all know if I haven't said it 100x, I'll say it 100x more, how much I hate giving everybody pacings information, because it is such a snapshot in a point in time. It could change quickly and you're catching it at some period in time that we had a big buy last year. But yes, we did have a big buy last year and all I was referencing is how it affects things at the day I'm giving you those pacings. But we have, with Tim Castelli and his team and Greg Glendale [ph] and Jeff Howard leading all of our national sales efforts. They're constantly in the market. We have lots of buys that are going on. I was just referencing this point in time compared to last year. 
Avi Steiner: Okay. The press reported, I don't know if you're going to answer this either but I'm going to try, that you've been engaging in some headcount reduction on the radio side. I don't know if you can help us think about that in terms of margins going forward. You did talk about, I think, growth in EBITDA on the radio business going forward but anything you can talk about there would be helpful. 
Rich Bressler: Look I'm not going to discuss anything individually on any matters that we do. But if you just really kind of take a step back, the one thing, and I think Bob and I have been clear on this over the last several months, not by our word, by our actions. We've significantly flattened our senior management organization to reduce overlap. And now that we're aligning our sales organizations to this structure and we're giving it more resources, we're giving people more authority, we're giving people more accountability, we've got just a great team in place. So we're trying to -- so that team can now be more productive, they can operate efficiently and they can operate as effectively as possible. And we're just going to continue -- with that as a backdrop, we'll continue to look for ways to be more effective and more efficient as we identify opportunities to improve our business. And look that's our job. I mean, our job is to create value for all of our stakeholders and anytime we identify that we can be more effective, more efficient, anytime we identify that we can get closer to the decision-making process, and the sum of all of those points is to drop more to the bottom line, we expect to do that. And I expect that you'll see to realize EBITDA benefits from all of our actions in this year as the results go forward. 
Operator: Question from Jason Kim with Goldman Sachs. 
Jason Kim: Maybe a couple of questions at the capital structure side. First of all, is there any particular reason why you paid down the $247 million of your ABO [ph] facility during the quarter? 
Brian Coleman: Sure, Jason, this is Brian. That really was a cash management maneuver, right? We had the cash. We could earn 20 basis points in short-term investments so we could earn 200 basis points so to speak by repaying the ABO. The liquidity is still available. We can reborrow that at any time. So that's really a cash management move. When we think about our liquidity, it didn't change anything because it's available to be drawn if and when needed. 
Jason Kim: Okay. And then I mean, I guess, as I look at the trading levels of your bonds in the bank that virtually, every piece of that is at the highs right now. So the market seems to be continuing to be supportive of the company and I know you typically talk about balancing between the taking advantage of market conditions and not taking on more interest expense too soon. As you look to push out maturities and obviously, your last major transaction was done just that the end of last year. But has your thoughts evolved at all recently, given how well your bonds are trading today? And I'm talking about looking at potentially addressing more of your maturities and even ways to save on interest expense on some of your wider spread term loans? 
Brian Coleman: Yes, first let me just that it has not gone unnoticed, the improvement in the trading levels across our capital structure, the whole complex. So we are aware of that. Yes, I think the best way to answer this question is if you take a look at our past behavior, it's probably a pretty good indication of the company's future behavior. We have been active in the past, we'll continue to be active. This is just one of those things like asset sales. I can tell you actually, we have something unannounced, we can't really talk about it. You still get the question and you have to answer it like I'm answering it today. 
Operator: We have a question from David Miller. 
David Miller: I just wanted to flush out the Los Angeles situation a little bit more. So at least my impression was that those comparisons lapped on April 15, but you guys are saying that that's not really true because even though the boards were turned off last year on April 15, there was sort of a residual revenue affect that kind of leaked into the bottom portion of last year's quarter. Can you just flush that out for me a little bit? Was it a make good situation or how should I think about that? Should I just assume basically that those comparisons don't really lap on April 15? Should I just to show that as of July 1, that the comparisons laps -- when should that comparison lap, in your view? 
Rich Bressler: So look, somewhere between what a mentioned, just I want to go back to that again because I just want to make sure I was clear if I wasn't clear before. So just as a reminder, the boards were turned off April 15. You're right on that. In the advertising world, in the advertising community, cancellations usually take 4 to 5 weeks to come through since you have contracts and you have the ability to repurpose that inventory and we were able to do that by leveraging other assets in our portfolio and I think it's just worth reminding all of us that yes, we did lose 77 digital boards in L.A. and we're on a process we're working. I think as I said in my opening remarks with the municipalities in L.A. very constructively, to move forward and to get those back. On the other hand, in the city of Los Angeles, just as a reminder, we still have -- we have 2,000 traditional bulletins and posters in L.A. County, excluding the city. We have another 2,800 spaces. In the greater Los Angeles DMA, we have another 3,200 spaces. So we have plenty of other places to put this inventory there. And so in terms of -- I can tell you exactly how to model it and when to do it. All I can tell you that April 15, they came down, the contracts had 4 to 5 weeks to run a number of the contracts, that it was still not a clean quarter. What I would say is obviously, clearly, the third quarter will be a clean quarter, the third quarter this year compared to the third quarter last year. 
Operator: We have question from Lance Vitanza with CRT. 
Lance Vitanza: It looks like you're finally seeing a turnaround in France. It seems like it's coming sometime after the economies at least started to improve. And so I'm just wondering, is that just a normal lag between economic recovery and Outdoor ad spend or is something else going on there? Is market getting less competitive or can you talk a little bit about that? 
Rich Bressler: Happy to talk about it, and thanks for the question on France. Look, the French market -- the French market in France is as competitive as it was 12 months ago. So there clearly is no material change to that. I think as we've talked about in the last 6 or 7 months, one of our big initiatives with CCI is allocate capital, the highest return on inventory. One of our big initiatives is to identify unserved or bring a tighter focus to markets and go where we think we can capture dollars. I'm not going to go into a lot of detail on that for competitive reasons. But with the downturn that was happening last year in France, we took a critical look at our footprint. We managed it to focus on the highest ROI. For example, we do have better offerings in digital malls in France, which have performed very well in Q1. And overall, France came back this quarter. And by the way I think I've pointed this out briefly, your question was on France, but I also want to point out the U.K. and China were also growth markets for us in the first quarter. So we feel really good about again, the job the team has done in the markets we're in. 
Lance Vitanza: If I could just get one more in quickly on the political revenue. Could you remind is what the current asset configuration generated in 2Q '12 and 2Q '13 in terms of political revenues? 
Rich Bressler: Yes, I don't have that off hand. I'll let Effie get back to you with that. And just as a reminder, our political dollars this year are relatively smaller or not even relatively, are small in the first quarter, the second quarter. We expect to see the bulk of the political spending come in the third and fourth quarter and Nathan Daschle and his team and the new political organization we have are just doing an outstanding job for us. I remember, Nathan used to run the Democratic Governor's Association, came on board towards the end of last year and he and his team are working with all our market presence to make sure we maximize the advertising dollars. So we feel really good about that. 
Operator: Question from Tracy Young with Evercore. 
Tracy Young: Just focusing on the digital business. It looks like you added 15 boards this quarter, it's a little light versus prior first quarter. Is that just a timing difference compared to where they're going to be aligned for the rest of the year? And also, is there any way for you to give us the same board revenue growth on digital? 
Rich Bressler: Okay, so in terms of the digital expansion, yes, we did add only 15 boards this year. That we are continue to be incredibly bullish about digital billboards. We intended to add more digital billboards this quarter than we added last and more as the year goes on. But quite frankly, the extreme weather conditions that I referenced earlier in the opening remarks and a slow permitting process has forced us to push those planned installations into the second and third quarter. But I think you'll see the pace of those pick up. 
Tracy Young: Okay. And is there any way to give us just a revenue -- same board revenue growth figure for digital for first quarter? 
Rich Bressler: No, we don't break that out, sorry. 
Operator: At this time, there are no further questions in queue. Please continue. 
Rich Bressler: Great. Well, look, thank you, everybody. Effie, I, Brian and the team, we're here to answer any follow-up questions and hope everybody has a great day. 
Operator: Ladies and gentlemen, this conference will be available for replay after 10:30 a.m. Eastern Time today through midnight Eastern Time on May 24. You may access the AT&T executive replay service at anytime by dialing 1 (800) 475-6701 and entering access code 325341. International participants dial (320) 365-3844. That does conclude our conference for today. Thank you for your participation and for using AT&T Executive Teleconference. You may now disconnect.